Operator: Good day and thank you for standing by. Welcome to the Cumulus Media Quarterly Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session [Operator Instructions] I would now like to turn the call over to Mr. Collin Jones. Please go ahead.
Collin Jones: Thank you, operator. Welcome everyone to our First Quarter 2021 Earnings Conference Call. I'm joined today by our President and CEO Mary Berner, and our CFO, Frank Lopez-Balboa. Before we start, please note that certain statements in today's press release and discussed on this call may constitute forward-looking statements under federal securities laws. Actual results may differ materially from the results expressed or implied in forward-looking statements. These statements are based on management's current assessments and assumptions and they are subject to a number of risks and uncertainties. In addition, we will also use certain non-GAAP financial measures. We believe this supplementary information is useful to investors, although it should not be considered superior to the measures presented in accordance with GAAP. A full description of these risks as well as financial reconciliations to non-GAAP terms are in our press release and SEC filings. The press release can be found in the Investor Relations portion of our website and our Form 10-Q was also filed with the SEC shortly before this call. A recording of today's call will be available for about a month. Details for how to access that replay can also be found on our website. With that, I'll now turn it over to our President and CEO, Mary Berner, Mary?
Mary Berner: Thanks, Collin, and good morning, everyone. Every year the Q1 earnings call come so soon after the prior year wrap up that we often feel like we're just confirming what we said a short while earlier. But that pandemic changed that. Last year, our first quarter report was devoted to how we were going to weather the biggest crisis our business had ever faced, one that was not even on our radar when we ended 2019. And this year, with a much better outlook on the pandemic and greater conviction on recovery than when we last spoke to you, I'll start by saying what a difference 10 weeks makes. Today, we are pleased to report our Q1 results against the backdrop of an improving public health and economic environment. Once again, we delivered quarterly sequential revenue improvement with positive momentum across all our businesses with particularly strong results in podcasting, which was up approximately 35% year-over-year. On a same-station and ex-political basis, we finished the quarter with total revenues down less than 10% year-over-year despite the fact that we were pacing down about 20% at the time of our last earnings call. Additionally, our 2020 cost actions will result in a fixed cost base that is permanently reduced by more than $50 million versus the 2019 baseline and improvement from the $45 million we guided to last quarter. And, through cash generated from operations, including continued strong working capital management, we increased cash by $22 million in the quarter, finishing with nearly $300 million in the bank. As the macroeconomic – macro environment continues to improve, we have never been more confident that our strong competitive position, proven track record of solid execution, numerous revenue growth drivers, and ability to consistently generate significant free cash flow give us a number of viable paths along which to grow shareholder value in the short and long-term. Starting with the big picture, let me give you some color on just how dramatically the outlook has changed. This time last year, we were facing the spectre of a deep and prolonged recession that, according to some pundits, might have resulted in the closure of as many as one-third of small businesses that drive our local revenues. But in the small business pulse survey conducted by the U.S. Census Bureau just a few weeks ago, less than 2% of small businesses surveyed had closed permanently and less than 8% anticipate they will be permanently operating at a lower level, meaning that 90% of small businesses already are or anticipating getting back to their pre-pandemic levels. So this, along with continued historic levels of government spending and highest consumer sentiment rating that we've seen in a year support economists' projections that we are entering a period of increasingly robust economic activity. As more and more states announce their timelines for a total rollback of the pandemic mandates for the restricted commerce and consumers begin to satisfy a year a pent-up demand for travel, entertaining and engaging in life away from the computer screen, we're starting to see a kind of grand reopening of life as we knew it. And historically with its unparalleled reach and efficiency, local promotion capabilities and well-established track record is the most effective advertising vehicle for generating foot traffic. There has been no better marketing partner for grand reopenings than radio. In combination with Radio, Cumulus' other platforms, streaming audio, national and local podcasting, digital marketing services and event capabilities can provide a one-stop marketing shop for our local and national clients who want to leverage this moment in time and we're putting this powerful and well-positioned platform to work. For example, to take advantage of the continuing explosion of sports betting. As an advertising category, we've talked about before, it's grown nicely and we're benefiting from that growth. In fact, we already have nearly doubled the business committed for the full-year 2021 as we had in the entirety of 2020 and the ramp up is unsurprising. In many states where sports betting is legal, there are 10 or even more operators buying for market position. But, our significant local presence, particularly against the demographics that are most valuable to sports betting organizations as well as our marquee national sports talent and NFL right make us particularly desirable as a marketing partner. We are having more conversations every day about how we can best use our beach front property to drive sign up from high value depositors for sports betting companies. We've also been able to tap into the content side of the sports betting ecosystem, recently launching the first nationally syndicated sports betting show called Picks Central in partnership with Barstool Sports which brings with it an extremely loyal and younger skewing audience to radio. Picks Central, which provides the best betting lines of the day as well as commentary on various sports topics and betting strategies is hosted by Brandon Walker with Barstool's Big Cat and Dave Portnoy joining. Additionally, we're starting to see a big uptick in activity by venues across the country, which are planning new or expanded events and concerts. While we expect that event revenue will still be at depressed levels in Q2 and likely Q3 relative to pre-pandemic levels, the pace of partnership conversations with live promoters has increased substantially and we even have certain tent-pole events that are on track to materially exceed pre-COVID performance. For example our annual concert in Atlanta 101FIVEfest which will be headlined this year by country music star Brantley Gilbert in October, pre-sold nearly 4x as many tickets this year than it did in years prior and we're seeing similar results in other markets across the country. In the last quarter, we continued to grow our podcasting content stable adding to the more than 1 billion podcast downloads we achieved last year. For instance, in March, we struck a deal with DCP Entertainment to distribute market and monetize all their podcast including Say Their Name, which was nominated for the 2021 Ambies Awards Podcast of the Year. We also took important the steps this quarter to rebrand our podcast network as the Cumulus podcast network. This isn't just a word change. The rebranding marks the consolidation of Cumulus Media's national and local podcasts into one entity in order to capture the full breadth and diversity of our owned and partnered portfolio and provide advertisers at all levels access to a comprehensive offering of podcast across the content spectrum. Another example as to how we've been able to leverage the entire Cumulus Media Platform is how we have been the only media company to successfully expand podcast first talent into nationally syndicated radio. We first created the paradigm with Ben Shapiro whose radio show was launched in 2019 and is now on over 250 affiliate stations across the country. This strategy has been tremendously successful as it optimizes our ability to monetize content and talent across platforms and builds audiences through both digital and over the air distribution. In March, we announced our second major partnership in this regard with Dan Bongino, a leading conservative voice who hit number one among all podcast, following the election in 2020 and has consistently ranked in the top 10 in the news category on Apple for most of 2021 as well. Filling the void left by Rush Limbaugh's death, the Dan Bongino Show will officially launch on May 24th in the coveted noon to 3:00 PM radio broadcast time slot. Out of the gate, the program will be launched in over 100 markets, including at least eight of the top 10 markets. As important as investing in these growth opportunity has been and will be going forward, at the same time, we've made significant reductions to our cost profile. As I noted earlier, we're now on track to permanently lower our fixed cost base by more than $15 million versus 2019, which is of course a more appropriate baseline and we still see opportunity to rationalize the fixed costs of the business. For example, we have several facility consolidations or reductions under way, reflecting insights we drew from the work from home environment the pandemic forced us into last year. Additionally, we've been able to renegotiate contracts where it made sense and generate savings from better business processes. While it's still too early to size the precision, we anticipate these additional cost actions will begin to positively impact our P&L in 2022. These continued efforts to reduce cost and enhance operating leverage allow us to generate more EBITDA from each incremental dollar of revenue. And with our significant cash balance and low net debt, as EBITDA recovers, we expect to experience rapid deleveraging, which will give us even greater flexibility in our capital allocation decisions. Looking ahead, we are optimistic about the recovery prospects. We know that in an environment that is changing as fast as this one, pacing is not a great, or even good really, indicator of what to expect this quarter. So I will note that while we are currently pacing up a bit more than 35% versus 2020, we fully expect that similar to last quarter when we finished much better than we were pacing at the time of our earnings call, we will continue to see continued improvements in year-over-year revenue performance as the quarter progresses. With that, I'll turn the call over to Frank to give you a bit more detail on the quarter. Frank?
Frank Lopez-Balboa: Thank you, Mary. It's nice to be speaking with everyone today in the context of a market environment that is improving on a number of fronts. As usual, I'll speak to our numbers on a same-station basis. In Q1, we finished the quarter better than down 20% that we indicated on our last call with total revenue of $201.7 million, down 10.9% from Q1 2020. It was also a nice improvement versus our fourth quarter results. On an ex-political basis Q4 was down 17% year-over-year while on that same basis, Q1 was down less than 10% year-over-year. We saw improvement across the board driven not just by the market environment, but also the various growth strategies in areas that Mary discussed. Digital led the way in the quarter with aggregate growth and podcasting, once again, was a bright spot, up approximately 35% year-over-year. One thing to note on the digital front is that we made a change to our presentation of digital versus spot revenue this quarter, which is prompted by measurement changes from Nielsen that led us to shift several stations to a full simulcast. This allows us to differentiate the listenership that advertisers receive between over-the-air broadcast and the accompanying stream. As a result, we're not presenting the revenues related to the streaming simulcast audience as digital revenues, which more accurately reflects the actual contribution of streaming to our business. The magnitude of this change was mid-single digit millions in the quarter. And to be clear, this had no impact on total revenue. Expenses declined in the quarter by $5 million or 3% but if not for the return of the NCAA tournament which of course was not held last year, expenses would have been down more. We delivered more than $10 million of permanent cost reductions year-over-year in the quarter. As Mary mentioned, we're now on track to have a fixed cost base that is permanently lower than our 2019 annual baseline by more than $50 million. EBITDA for the quarter was $8.9 million. However, with the strong working capital performance, we generated $26 million of cash from operations in the quarter and increased cash by $22 million. This allowed us to finish the quarter with a cash balance of approximately $294 million. As you review our 10-Q, you also will note that with the December changes to the PPP loan program, we became eligible to apply for PPP loans like several of our broadcast peers. We applied and were approved for $20 million and we received $1.7 million of that amount in Q1 and the other $18.3 million in early April. As we've mentioned in prior quarters, we do have a mandatory prepayment requirement for about $133 million of our cash balance, which reflects net proceeds from asset sales in 2020 that have not reinvested, including CapEx, are required to pay down debt. About half of that pay down. That is not reinvested will go over the term loan in June. The other half would be split between term loan and bond in the September, October timeframe, unless we chose to make such pay downs earlier. Another $60 million of the cash balance reflects amounts drawn from our EBR revolver. As a final note, we are now in the midst of a competitive sales process for a sizable piece of property that we have in Nashville, which we've mentioned on prior calls, and we hope to share more details on that in the near future. With that, we can open the line for questions. Moderator, we're ready for our first question.
Operator: [Operator Instructions] There are no questions at this time.
 :
 :
Mary Berner: Thank you, everyone, for joining us and we will see you in the next quarter. Thanks.
Operator: Thank you for your participation. This does conclude today’s conference. You may now disconnect.